Operator: Good day, everyone, and welcome to the Guess? Fourth Quarter Fiscal 2023 Earnings Conference Call. I would like to turn the call over to Fabrice Benarouche, Vice President of Finance and Investor Relations. 
Fabrice Benarouche: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. On the call today with me are Carlos Alberini, Chief Executive Officer; and Dennis Secor, Interim Chief Financial Officer. 
 During today's call, the company will be making forward-looking statements, including comments regarding future plans, strategic initiatives, capital allocation and short- and long-term outlooks. The company's actual results may differ materially from current expectations based on risk factors included in today's press release and the company's quarterly and annual reports filed with the SEC. Comments will also reference certain non-GAAP or adjusted measures. GAAP reconciliations and descriptions of these measures can be found in today's earnings release. 
 Now I will turn it over to Carlos. 
Carlos Alberini: Thank you, Fabrice. Good afternoon, everyone, and thank you for joining us today. I am very pleased to report our fourth quarter results, which exceeded our expectations for revenues, operating profit and earnings per share. These results cap a strong year for Guess? where we grew revenues by 4% in U.S. dollars and 12% in constant currency and delivered almost 10% in adjusted operating margin and $2.74 in adjusted earnings per share. We are very proud of our performance this year. And Paul and I want to thank our teams around the world for their commitment and strong execution. 
 During the fourth quarter, our revenues increased by 2% in U.S. dollars and 8% in constant currency, well ahead of our expectations. The revenue increase was driven primarily by our business in Europe, which delivered strong top line growth and solid profit performance in spite of currency headwinds. Our Europe results were driven by better-than-expected performance in our retail stores, including new stores and solid results in our wholesale business due to increased shipments during the quarter. Our brand continues to enjoy strong momentum, and our wholesale customers chose to take early deliveries when the product was available. 
 Our Americas Retail business posted a marginal decrease in revenues and a more significant reduction in operating earnings. This decrease was attributed to lower gross margins as a result of increased margins, partially offset by a higher initial markup. Our Americas Wholesale segment revenues decreased meaningfully in the quarter as we experienced lower orders and cancellations from our customers as they tightly manage their overall inventory levels. Despite achieving a higher gross margin in this business, operating earnings decreased due to higher expenses and deleveraging. 
 Our Asia business recorded a reduction in both revenues and operating profit during the period, and this was primarily due to timing and revenue mix compared to the prior year. Although our Asia business is relatively small, we remain committed to its growth and continued success. Additionally, our Licensing business also recorded a mild decrease in both revenues and operating earnings. However, the underlying sales for this business continue to be strong and delivered stellar performance for the entire year. 
 Our strongest product categories in the fourth quarter were accessories led by handbags, small leather goods, travel products, fragrances, jewelry and eyewear. We also saw strong results in our Marciano brand, activewear, dresses and our kids business. While sales of apparel for both men's and women's had similar performances, the more drastic products outperformed due to customers dressing up for holiday events. Conversely, the more casual part of the assortment experienced a deceleration in line with our third quarter trends. 
 As we reflect on the full year, we are very pleased with our performance and the quality of our earnings. Although the pandemic became less of an issue for our business this year, there were significant changes in the environment and challenges that impacted our results, which were beyond our control. Severe supply chain disruptions created product shortages and skyrocketing cause further aggravated the situation. Additionally, the ongoing war in Ukraine disrupted energy flows resulting in a significant increase in costs. These and other factors contributed to global inflation, which undermine consumer confidence and put pressure on all aspects of our cost structure, including labor costs and rent. 
 Our team did what we do best by focusing on the fundamentals and controlling the things that are within our control. We proactively tackled the supply chain issues by moving up deliveries, which helped to protect product flows to our stores and deliveries to our wholesale partners. We managed inventories carefully and avoided creating an excessive amounts of unsold stock. We used our capital wisely and prudently, and we control our costs very effectively. And we stayed the course set by our brand elevation strategy and minimized promotional activities. 
 With our steady and disciplined approach, we captured growth opportunities and gained market share throughout the year, delivering growth in each one of our operating segments. However, we faced a frustrating challenge as a large portion of this growth was overshadowed by the most significant factor outside our control, currency fluctuations. Despite this challenge, we remain highly committed to delivering value to our stakeholders, and we'll continue to do so in the future. 
 For the year, in constant currencies, impressively, we grew our business by 12% to $2.9 billion, but currency headwinds consumed $217 million of that growth. resulting in the 4% U.S. dollar increase and $2.7 billion of revenues that we are reporting today. Beyond that, currencies consumed $62 million of operating profit and 140 basis points of operating margin. When combined with mark-to-market changes, which we booked below the operating line, these factors represented $1.20 reduction to the $2.74 adjusted earnings per share for the year. If we similarly neutralized last year for currencies, our adjusted earnings per share this year would have grown roughly 20% compared to last year. And last year was exceptionally profitable due to the abnormally high margins that we achieved as a result of inventory shortages and reduced promotions in the market. We consider this a significant accomplishment, and I'm immensely proud of our teams managing the business well, controlling what we could control. 
 As we developed our strategic plan in 2019 pre-COVID, we identified several valuable opportunities for margin expansion. We adopted a strategic approach with a focus on purchasing inventory based on anticipated demand, maximizing full price selling and reducing promotional activity. We identified opportunities to enhance productivity across functions, optimize our store portfolio, consolidate multiple functions, manage capital effectively and expand our digital business with a new upgraded infrastructure. We built greater agility into our supply chains through the development of one global line. We remain steadfast in our commitment to further improving our operations and driving sustainable growth in the future. 
 As we take a step back to evaluate where our business stands today and identify value creation opportunities for the future, we have significantly transformed the company and are moving forward from a position of strength. Unequivocally, Paul led the way in our transformation that touched every aspect of our business. Paul's vision to elevate our brand and his leadership and drive to inspire our teams resulted in amazing execution. Today, our brand innovation is visible in every aspect of our business. You can see it in the quality of our products, in the styling, in the consistency of our assortments and our commitment to sustainability. Today, we are proud to offer a global line of products for each of the 25 categories that we serve. And every product is priced based on its customers' perceived value for the market it is being offered. 
 We have a product assortment that caters to the needs of our customers from casual to dressy occasions, and the power and versatility of our brand appeals to a broad range of customer segments from Gen Z to millenniums to heritage. And in marketing, where we have never stopped investing, our efforts are synchronized with the appropriate product deliveries for our omnichannel network. We have also elevated the customer experience, including new tools for our website and stores. Currently, we are developing a client [indiscernible] app to personalize the in-store experience, and we are relying more in data analytics to optimize data collection, customer engagement, segmentation and personalization. 
 Additionally, as part of our brand elevation initiative, we have invested in new stores, remodels, new inventory and enhanced visual presentations. As a result, 80% of the fleet today reflects the more elevated representation of our brand. Despite the significant progress that we have made in optimizing our business model, we remain vigilant in identifying further opportunities for margin expansion. Our strategies include optimizing our assortments to improve sales productivity, enhancing inventory management to accelerate inventory turnover and increase margins, and streamlining our supply chain to reduce costs and increase sourcing proximity for better market distribution. 
 Looking forward, we are excited about the significant growth opportunities that lie ahead for our company, leveraging the robust capabilities that we have built during the 42 years that Guess? has been in operation. We aim to achieve this growth gradually by prioritizing 4 key initiatives. Firstly, we will focus on increasing the sales productivity of our existing network, including our stores, websites, licensing and wholesale channels. 
 Secondly, we will explore opportunities to grow organically in existing and new markets by expanding our store network and attracting new customers. Thirdly, we will pursue further brand extensions and category expansions that leverage the strength of the Guess? and Marciano brands. And finally, we will pursue strategic acquisitions of brands and businesses that leverage our global infrastructure and network of licensees and wholesale partners. We are confident that this growth strategy will result in tremendous value creation opportunities, and we are well positioned to support these initiatives with our robust capital structure. 
 Regarding our outlook for fiscal year 2024, we are taking a prudent approach based on our current business trends and the state of the consumer across markets. As Dennis will discuss in more detail shortly, we are planning the business with a low single-digit revenue growth for the year. We have actively sought opportunities for gross margin growth primarily by reducing promotions and inbound freight costs. These efforts should result in strong profit performance as we anticipate delivering an operating margin between 8% and 9%. 
 Before I hand over the call to Dennis, I would like to reflect on the past 4 years since my return to guests and how the world has undergone significant changes in that time. I am proud of how our entire organization has embraced these changes, and how we have adapted to a new era of shopping, working and living. Our customers have responded positively to our transformation. Thanks to Paul's efforts and vision, our products have never been better. Our brands are thriving globally, and we have a robust business model that is capable of delivering strong margins and high returns on invested capital. Furthermore, we have numerous opportunities to expand and leverage our global platform. And above all, we have an exceptional team that is highly capable and committed to achieving our goals and delivering value to our shareholders. I'm excited about our future and eager to share with you what lies ahead. 
 With that, I would now like to hand the call over to Dennis, who will provide a more in-depth review of our financial results and outlook. Dennis? 
Dennis Secor: Thank you, Carlos, and good afternoon, everyone. So let me share the highlights of our regional performance for the quarter, starting with Europe, where we posted a 20% constant currency revenue increase and a 10% increase in U.S. dollars. The revenue growth was mainly driven by positive store comps, higher wholesale shipments and net new stores. 
 These were partially offset by the significant headwind from the strong U.S. dollar. Our stores in the region posted a 20% constant currency comp increase in the quarter, driven by continued strong store traffic and AUR growth given our price increases. Just as in the third quarter, Turkey's hyperinflation had an outsized impact on the comps. Excluding Turkey, our European store constant currency comp increase would have been 15%. European operating earnings decreased 5% and operating margin declined 260 basis points as the benefit of sales growth was more than offset by the negative impact of currencies and the prior year's fourth quarter COVID subsidies, which did not repeat this year. 
 In Americas Retail, revenues decreased 1%, both in U.S. dollars and in constant currency. Comp store sales declined 1% in constant currency, driven by lower conversion, partially offset by higher AUR and traffic. Somewhat offsetting this decline was growth from our e-comm business as well as new stores. Again, this quarter, our tourist locations outperformed the rest of our store fleet, though that differential is narrowing as we are anniversary-ing a more normalized level of travel in the U.S. 
 Americas Retail operating profit declined 12% and operating margin declined 180 basis points, driven by a lower mix of full price selling and higher occupancy costs, partially offset by an IMU improvement. In Americas Wholesale, revenues declined by 27%, both in U.S. dollars and constant currency. Our U.S. wholesale partners continue to tightly manage their own inventory levels and limit their receipts. Operating profit declined 40% and operating margin declined 450 basis points as deleverage and expense increases offset an expansion of gross margin. 
 In Asia, revenue declined 8% in U.S. dollars and grew 1% in constant currency. The modest growth was driven by the impact of the direct operation of some of our stores in Korea and positive constant currency comp store sales of 4%. Offsetting those increases was the impact of the deliveries to those acquired stores. Last year, our Q4 deliveries of product to those then partner-owned stores was recognized as Q4 wholesale revenues. Now that we own those stores, we don't record revenue until the sale is made to the consumer. Permanent store closures in China and Japan also represented a sales headwind in the quarter. Operating profit declined 60% and the operating margin declined 370 basis points, largely due to the mix shift between wholesale and retail. 
 And finally, in our Licensing segment, royalty revenues declined 8%. Segment operating profit was $22 million, a $2 million decline from last year's Q4. In the quarter, total company gross margin contracted 210 basis points to 44.2%, more than 2/3 of which was driven by currency headwinds. Also affecting gross margin was a higher mix of markdowns given last year's inventory scarcity in our own inventories as well as this year's higher competitor inventory levels and the resulting promotional environment. 
 Adjusted SG&A for the fourth quarter increased 4% to $254 million. The primary drivers of our expense increase were higher store selling expenses, including the impact of labor inflation as well as higher selling costs to support our wholesale growth. In Q4 last year, we also received government subsidies, which did not repeat this year. Partially offsetting those factors were a $13 million favorable currency impact and lower performance-based compensation charges given last year's exceptionally strong performance relative to operating goals. For the quarter, our adjusted SG&A rate increased 50 basis points to 31.1%. 
 Our fourth quarter adjusted operating profit was $108 million, 14% lower than last year, and our adjusted operating margin was 13.1%, 260 basis points lower than last year's Q4. Currencies had a negative $20 million impact on adjusted operating profit and represented a 160 basis point headwind to the adjusted operating margin. In the quarter, we recorded nonoperating net income of $1 million. This includes charges on the revaluation of certain of our foreign subsidiaries net assets and liabilities into U.S. dollars and net gains to mark our deferred comp plan and SERP plan assets to market. 
 Our fourth quarter adjusted tax rate was 5% compared to a rate of 25% in last year's fourth quarter. In the quarter, we recorded a discrete tax benefit related to one of our international subsidiaries, which accounts for most of the year-over-year rate change. Adjusted diluted EPS in the quarter was $1.74 versus $1.14 in the fourth quarter of fiscal '22. We are very pleased with these results. 
 Moving to the balance sheet. We ended the year with $276 million in cash compared to $416 million a year ago. Our $140 million year-over-year cash consumption was driven primarily by the $187 million of share repurchases executed in the last 12 months. We ended the year with a total of $353 million of borrowing availability on our various global facilities. Inventories were $511 million, up 11% in U.S. dollars and 13% in constant currency versus last year. Our inventory growth primarily reflects this year's strategy to order product earlier to mitigate supply chain constraints. 
 We're very pleased with our inventory composition and in our proactive management of inventory this year. As supply chains have been recovering, we have already reduced this growth rate over the past few quarters. And as we return to a more traditional receipt cadence in fiscal '24, our plan is to further reduce our inventory levels. Our receivables were $342 million, a 4% increase versus last year's $329 million. On a constant currency basis, receivables increased about 7% as a result of the growth in our wholesale business in Europe. 
 For the year, capital expenditures were $90 million, up from $64 million in the prior year, mainly driven by investments in remodels, new stores and technology. Free cash flow for the year totaled $72 million versus $61 million in the prior year with higher operating cash flow being partially offset by this year's higher capital spending. Last year's operating cash flow was impacted by the $108 million tax payment made associated with our IP transfer to [indiscernible]. Today, we also announced that our Board approved our quarterly dividend of $0.225, which at recent stock prices, represents an annual yield over 4%. 
 So now let's talk about our outlook for fiscal '24 and the first quarter. Some of the dynamics that affected our business and the consumer last year have changed while others persist. Supply chains have largely recovered, yielding more reliable deliveries. And while not yet completely back to more normal levels, freight costs have improved significantly. On currencies, at least for now, the volatility has subsided. The U.S. dollar has weakened somewhat from its most recent highs. COVID restrictions have, at least for the moment, been lifted in China and throughout Asia, allowing retailers to once again operate in a more normal way. 
 On the other hand, inflation remains high throughout the world. And while there are signs of some easing, pressure from rising interest rates may take its place and weigh on consumer spending. Uncertainty about the implications of the Ukraine war remain, and the U.S. debt ceiling and current instability in the banking system pose a significant risk to the global economy. 
 Overall, we expect the consumer to remain prudent in their spending, wanting to shop but continuing to be very focused on price. It also remains to be seen how the European consumer will behave now that they're in their second year of more normalized post-pandemic shopping. And we expect retailers will prioritize maintaining tighter inventories than last year. Cleaner inventories among retailers should tighten the competitive environment and help to lessen the use of markdowns, especially in the U.S., but it will also have implications on the top line in our wholesale business as we consider those retailers who carry our products. 
 Based on these assumptions for the full 2024 fiscal year, we are expecting total company revenue growth in the range of 1% to 3% with only a minimal impact of currencies on this range. This year will also include an extra week in the fourth quarter, and we estimate that will represent roughly 1 point of sales growth. As we consider this year's profitability, we anticipate both tailwinds and headwinds will affect our bottom line. 
 Let me start with some tailwinds. With supply chains now largely recovered, we expect that improved shipping costs will represent a benefit to our IMU. With our assumption that competitors will manage their inventories with greater discipline, we would expect an improvement in the overall promotional environment allowing us to recover some of last year's markdown rate. We estimate the combined benefit from shipping costs and markdown improvements will be roughly 1 full point of margin. And the revenue growth, including the impact of the 53rd week, should benefit our overall annual operating margin by about 1.5 points. There are also some headwinds as we go into fiscal '24. The first is currencies. 
 For the full year, at prevailing exchange rates, we expect that currencies will represent about a 70 basis point headwind. Like so many others, we are experiencing inflationary pressure on our expenses, including labor costs and store occupancy. While last year, we received COVID-related subsidies from several governments around the world, we are not planning for those offsets to expenses to repeat this year. And as we anticipated and said on a prior call, last year's performance did not meet all of our performance-based compensation targets. Those targets are reset each year, so meeting those targets this year would result in a greater year-over-year expense. 
 We estimate all these headwinds in total will negatively impact operating margin by roughly 2.5 points with about half the pressure coming from inflation. All those factors when taken together would represent roughly 1 point of net operating margin decline with that headwind increasing if we achieved the lower end of our revenue outlook. Therefore, based on those assumptions for the full year, we expect operating margin in the range between 8% and 9%. Below operating income, our currency assumptions would result in a small mark-to-market loss for the year compared with the substantial charges we recorded last year, with this year's loss being recorded in Q1. We are also planning a lower average outstanding share count this year given the annualization impact from last year's share repurchases. 
 Those two factors would favorably affect EPS. Partially offsetting those this past year, we recorded a discrete income tax benefit, and we are not planning for that to recur. Accordingly, for the full year, we expect adjusted EPS between $2.45 and $2.80 per share. 
 Turning to the first quarter. we expect to experience most of the same dynamics as the full year. However, the COVID-related subsidies disproportionately benefited last year's first quarter. In our Americas Wholesale business, the timing of shipments last year was heavily weighted to Q1. And in Europe, the shipping calendar for the spring/summer collection, which ships during the fourth and first quarters, has been shifting forward. 
 That benefited revenues in the quarter we just closed by roughly $25 million, about half of which we had anticipated. That $25 million calendar shift will now negatively affect Q1 of the current year. Therefore, for the first quarter, we expect U.S. dollar revenues to decline between 6% and 7%, which includes roughly a 3-point currency headwind. We expect adjusted operating loss margin between 0.5% and 1.2% and adjusted loss per share between $0.25 and $0.31. 
 As we look beyond the first quarter, we expect the middle quarters will experience modest operating profit pressure given the dynamics of more prudent top line assumptions coupled with the cost headwinds we described. The fourth quarter should represent our most significant opportunity for operating margin expansion. In addition to the extra week in Q4, we'd expect by the fourth quarter, we will have already absorbed significant inflationary cost pressures. 
 Last, on capital allocation, we are planning for our inventory levels to normalize and inventory turns to improve as supply chain disruptions have mostly subsided. In line with our brand elevation strategy, we have invested in remodeling many stores and opening new locations in the last couple of years and now have updated a significant portion of our fleet. 
 As a result, we are planning for lower levels of CapEx investments in fiscal '24 versus '23. This year, we also expect to complete the previously announced acquisition of the remaining 30% interest in our Russia business, which is currently pending Russian government approvals. All told, when you consider our operating profit and tight capital management this year, these should help generate free cash flow of roughly $150 million for the full year. 
 In closing, we are proud of our results and our team's work and excited for our company's future. And with that, I will conclude the company's remarks, and let's open up the call for your questions. 
Operator: [Operator Instructions] It comes from the line of Corey Tarlowe with Jefferies. 
Corey Tarlowe: So Carlos, as you reflected on your 4-year journey so far with Guess?, it's clear that your focus has really been about elevating the Guess? brand and the representation of that brand and innovating around product and marketing to continue to drive sales and margins. So could you maybe talk a little bit about what you're really excited about as you think about what initiatives you have planned for the next 12 months to continue upon that strategy that you highlighted earlier? 
Carlos Alberini: Yes. Thank you for the question, Corey. Well, I have been here now for 4 years -- back here for 4 years. And at the beginning, when I joined, the first thing that we did with the team was to really develop a strategic plan. We looked at the opportunities that we thought would create the biggest value. And we identified multiple opportunities to expand margins. And I think that, that was the right thing to do at the time, that year, I think, at the company closed with an operating margin of 5.3%. And we saw that there was a lot there to be able to reverse and expand the margins to a double-digit standard. And then COVID hit. 
 And with COVID, we not only continue to execute on that plan, but we accelerated many of the initiatives that we have set out to do. One of them was the expansion of our digital business and investment to upgrade the infrastructure that we had. There were several things about operations, distribution network in Europe that was not working very well and so forth. But we identified a big opportunity to elevate the brands and really here is where Paul really took the charge and led the teams and the product teams to really go after this elevation of the brand. And I think it was an incredible strategy. It's working very well for us. And we were able to really transform the company because this initiative touched every single point in the business at a global level. 
 So probably of the biggest initiatives within that one was to develop and launch a global line of product for every market. This is working very well as you can see the consistency of the presentations across markets, but also seeing that the bestsellers are bestsellers in every market, which I think confirms our initial idea that this is a brand that should be represented with a global line of product across every territory and every point of distribution. And I think that now as we look back, I think we did a very good job the teams really excelled at operating this business and executing on that plan. But what we see now is that we have a great margin business, highly diversified, and now we can look at growth opportunities. And that's why we are talking about these 4 big pillars that we have identified. 
 The first one is about just what we do internally, opportunity to improve sales productivity. We see a lot of factors here that could be improved with positive comp sales even in our wholesale distribution, our digital business can continue to expand. And we see that with the investments that we have made, both in digital, but also in our stores, we are poised for that growth and that opportunity in sales productivity improvement. 
 The second big pillar is about expanding in the market whether we are in there or we are not. And we see that we do very well on our omnichannel approach when we approach any market. And we think that there is an opportunity for a store network expansion, also in digital and also acquiring new customers in those markets. So that's the second pillar. 
 The third pillar is about brand extensions. We think that our brands are strong and they have a lot of momentum. And the customer is open to appreciating the lifestyle features that we have in both brands. I'm talking about Guess? and Marciano. And we think that we can continue to really penetrate other categories or expand in categories that we already have a big presence. A good example of this would be what we did with athleisure when the customer started staying home and so forth. And the athleisure line has been a huge success. It went from 0 to represent about 7% of our apparel distribution in almost 1 year, 1.5 years. So we see opportunities like that one in many other areas. So that's our third pillar. 
 And our fourth pillar is something that we haven't talked in the past, but we see a big opportunity for conducting or pursuing strategic acquisitions that can leverage the core competencies that we have created and built over the last 42 years that Guess? has been in business. We have a global infrastructure with great management capabilities. 
 We have a multichannel capabilities, too. We know how to do direct-to-consumer businesses, both retail and e-commerce. We know how to run a wholesale business, full price and outlet distribution. We have a great network of licensees that would -- could be further leveraged to partner with other brands. We have been doing business in 25 different product categories. So the capabilities that we have in product are, I think, very unique and very strong. We also have a global product development and supply chain network that can really be applied to multiple businesses and brands. And we think that what we do in marketing in terms of a fully integrated in-house advertising and marketing capabilities, I think, is also very unique. We do everything in-house. And we have a great global management team that could also be further leveraged. 
 So we see that our diversified business can be just further leverage. And I think we have the capabilities in-house to be able to capitalize on those opportunities and we have a robust capital structure that will allow us to really become involved with new businesses. So super exciting, and I hope that I answered your question. 
Corey Tarlowe: That's great. It's really helpful. I think one of the things that's also clear that over the last few years, this business has driven fairly robust margins. And then even for this year, that's expected to continue. So maybe, Dennis, could you talk a little bit about how to kind of bridge the margin for this year, maybe from the first quarter guide to the full year guide?
 I recognize that the puts and takes are obviously going to be a little bit different this year perhaps than they were in prior years. But it would be helpful if you could talk in a little bit more detail about some of the factors that might be impacting the next 12 months as you look out from a margin standpoint? 
Dennis Secor: Sure. And let me start with just -- even as I look back, I mean, we're really proud of how we protected the margin structure for this business, considering so many headwinds that have faced us. But as we pivot now to fiscal '24, I mean we kind of articulate these in detail, but let me double click. We're still expecting to see headwinds coming from inflation. We identified that last year, we benefited from some COVID relief, the year-over-year performance-based comp, that could present a headwind for us. 
 But the great thing about our plan is that we have levers that we think can mitigate those headwinds. We're looking at a benefit from lower freight now that the supply chains are certainly in better shape. Our expectation is that retailers are going to manage their inventories in a more disciplined way than perhaps they did last year. That should allow us some opportunity to claim back some of the markdown headwind from the year we just closed. 
 And with growth and some mix shifts, we should be able to take that portfolio of tailwinds and offset those headwinds with one exception. Currency still remains a headwind for us. And that's -- if you think about the year we just completed where we delivered a 9.8% operating margin, we told you we see about a 70 basis point headwind in currencies. At the top end of our range, that's the best bridge for you. 
 So we've got tools to mitigate everything. Currencies remains -- to challenge for us. When you pivot then to the first quarter, the first quarter is disproportionately absorbing some of those headwinds. The COVID relief -- if you look back to what we said when we announced last first quarter, we benefited from a lot of COVID relief in the first quarter, so we're up against that. We also had very strong sales in our American wholesale business. It was largely around timing, but we have that. 
 We're not expecting that kind of performance in the first quarter. I talked about the calendar shift where the spring/summer collection is now delivering more in the fourth quarter than it traditionally has. So the opposite end of that will be the first quarter. Then on top of that is the currencies, while we expect currencies, the translation impact to be relatively neutral based on current -- the current environment for the full year, that's not necessarily the case in the first quarter because the U.S. dollar last first quarter was relatively weak. 
 So we're expecting, given where it is, I think just using the euro as the example, it was $1.11 on average last first quarter, it's at $1.06, $1.07. So that implies a further top line headwind, and all of that is going to hit the first quarter. Once you get past the first quarter, that severe headwind for the first quarter subside, and that's where we see a more muted impact to the bottom line for the middle quarters. And then by the time we get to the fourth quarter, we enjoy the benefit of that extra week and we should have lapped a lot of the inflationary pressures that have built up into our cost structure. So that's the opportunity to get some bottom line tailwind. 
Carlos Alberini: Let me just add one concept here, and that is -- Dennis talked about what's inside the P&L. And I think that that's absolutely the way we have approached this planning. But the one thing that I think is important here to consider is the assumption on the top line because I think that we are looking at how the business is trending, the state of the consumer, what we are reading, what we are seeing. And for that reason, we decided to take a very prudent approach to our outlook. And that's why you see that 1% to 3% top line growth. 
 But something that I think is very important to note here is that we have a business model that if we can experience a different level of growth just we can see significant flow-through to the bottom line. And that obviously could impact our margins as well. So I just wanted to make sure that, that is considered. Currencies is another element that can impact the top line and the bottom line. And I think that, that is something to be considered. 
 And the last big thing, I think, that Dennis mentioned this in his script, is this business model has the capability to deliver very strong free cash flow. We are anticipating even with those conservative assumptions that we shared with you. We're anticipating that the company will be able to deliver about $150 million in free cash flow this year. We took this -- just the model very seriously. 
 We looked at CapEx. We tried to conserve capital. We have a high expectation that we'll be able to turn inventories faster, just eliminating the exits that we created, just by being strategic to make sure that we have product to service both our stores and our wholesale business. But we are expecting that all that is going to be kind of like eliminated from the business more on as a result, we can generate $150 million with conservative assumption. 
Operator: One moment for next question, please. And it comes from the line of Dana Telsey with Telsey Advisory Group. 
Dana Telsey: Carlos, as you think about the different channels of distribution, Americas Wholesale has always been a little bit more of a challenging one. How do you think of that opportunity going forward? What do you want it to be as a percent of the business in the long term? As your own DTC grows, you just mentioned expanding the store network. Where do you think it should be? How do you think of full price and outlet? And how do you think by the channels of Guess? and Marciano? And just lastly, you mentioned on the gross margin, some IMU benefits. How is that being planned for 2023? 
Carlos Alberini: So let me start with your question on wholesale. We love the wholesale business, so let me start there. And if you look at the strength of our wholesale business, it has been just very remarkable for this company for many decades. And this year and our current business is no exception to that. We are super happy with how wholesale has been performing both in the last few years in North America and in Europe for sure until very -- until now. So what we see is -- and let me just start by defining what is included in the Americas Wholesale business, which is a segment for us. It comprises 4 markets. It's U.S., Canada, Mexico and Brazil. 
 And the momentum of each of these markets is relatively different, and there are significant causes for each. So the one market that is under most pressure is the U.S. And we think that this is somewhat driven by how retailers that buy our product have approached the issues with supply chain and now with what's happening with the consumer. And as a result, we see that there is a contraction of buying. 
 And that contraction is, we think, primarily motivated by trying to keep inventories in check and not create any excess inventory. So as a result, we think that we have to play this game in a different way and be a lot more careful with how we buy. We had an experience when COVID started that we saw order cancellations in our left and right. And we decided strategically at the time that we were going to keep those orders alive, and that was a fortunate thing because then we found that our retail partners came back to us and said, well, we need product now because the consumer is back. COVID was somewhat under control. 
 And unfortunately, we did have access to the product, and we were able to make their business better and of course, ours as well. Our business in Canada has been very strong and performing very well. So we don't see any issues there. Our business in Mexico actually is outperforming the rest of our channels. And we are super happy with what's happening there, and Brazil is a very small business. 
 So what we think that is going to happen here is we think that we will continue to build our business. We think that product is going to be king, as it always is. So if we have the right product, which we believe we do, our retail partners are going to come back and order more. And that additional business is not considered in our plans but we think that there is plenty of opportunities to be able to do that. And we are going to be strategic in the way we buy it. So then we can be in a position to satisfy those stores, assuming that they do exist. 
 You asked about digital penetration. Before COVID, we were looking at our total e-commerce business as a percent of our direct-to-consumer business represent about 13% of our business. And this past year, we closed with 17%. There is different momentum between the 2 regions. I'm talking about North America and Europe. Europe has done a lot better in terms of accelerating this business than North America. And we are seeing growth from the pre-COVID days in a significant way. We think that there is a lot more to be had. Actually our North America business is having a pretty good momentum, and we think that this has a lot to do with the infrastructure that we have upgraded, following what we did in Europe. So we see that the rhythm is accelerating there as well.
 With respect to Guess? and Marciano, definitely, our main brand, core brand is Guess? and we have the majority of our business is anchored in that brand. But that said, Marciano, we see a lot of opportunity because we think that the product collections that we have within the brand are very unique and in the marketplace. 
 We think that there used to be some other brands that were right there in terms of that offering that type of contemporary lifestyle at reasonable prices. But now those brands are kind of gone. I'm talking about brands like BCBG at the time, just there were some aspects of other brands here domestically that offer similar type of product. And today, we don't think that, that competition is there. And Marciano is also doing very well in Europe, which is, again, there aren't that many companies that offer the kind of product and quality and styling that Marciano offers today. When you think about the dresses that are in the brands just are incredible, and the customer is voting with their purchasing in a very strong way. And so we see that brand accelerating the growth. But again, it's relatively small when you compare it to the size of our Guess? brand. And I think your last question was about -- maybe, Dennis, you can touch on that. 
Dennis Secor: Yes, Dana, I can help you with that. So the way we're thinking about product margins for next year, and I'm talking about the full year for all the consolidated business. But generally, we would see product margins to be up. The IMUs should have some tailwinds because as we said on the earlier part of the call, we're seeing some relief on the freight costs. Currencies will consume some of that, but we're seeing that those tailwinds as freight begins to -- that pressure begins to be relieved. 
 We also, if you recall, just we talked about the markdown cadence and with an expectation that retailers are managing their inventories in a more disciplined way then the environment will be less promotional. So we see that as an opportunity for a tailwind. And also the mix shift within our business should allow for some increase to profit margins. 
Carlos Alberini: And I'm just going to add, from a business standpoint, our intention here is to continue to add quality and price the product based on the customers' perceived value. This methodology, a new way of pricing, I think, has been very successful for us. We want to couple that strategy with buying not more than what we need, so then we can continue to sell and expect to sell a lot of what we make and put in front of the customers at full price. 
 And I think as this formula is working. We are investing in quality. We are investing in sustainability. And we think that the customer is absolutely responding well to the -- not only the actions but the messages that we have with the new product. And the one thing that is probably going to have an impact, but we are managing very well is we made the strategic decision to really get closer to the market where we distribute the products with our sourcing. 
 And we call this proximity and definitely, in some cases, that may have an impact on the ultimate costing that we incur, but we think it's absolutely the right thing to do. We have incredible connections with some of these sourcing vendors and partners. And we believe that the quality that they deliver is at par or even better than some of the other parts of sourcing countries that you can find in the globe. So we feel that this is strategic, and we think that over time, this type of sourcing will probably represent a bigger part of what it represents today -- but we think that is absolutely the right thing to do to improve quality, improve control over our supply chain and timing. 
Dana Telsey: Great. And just one quick last thing. How is denim performance in the quarter, given you mentioned the strength of accessories? 
Carlos Alberini: It's interesting that you asked that question. Denim has been relatively challenging for us, depending on the market. Just I'm talking about both North America and Europe, we have seen kind of like significant challenges with the category, but we have changed the designs and styling pretty significantly. 
 Just it used to be that skinny denim was a big part of our business, and now it's significantly less -- lower part -- smaller part. And we are seeing that the business is turning. So we are excited about the future here. We think that we have the right assortment. And we feel that there is an opportunity for us. Just we invested heavily in the dressy part of our assortment during the last 1.5 years or so because we felt that the customer was looking for that to really socialize and go out. And we were right at the time. But as part of that, we did not invest us significantly in the casual parts of the assortment. We think that now the customer is going there. 
 So we are ready for that. And I didn't mention the region that is doing well with denim, and that is Asia. We saw really good performance in the denim categories in Korea, even in China and Japan. 
Operator: And ladies and gentlemen, this will conclude the Q&A. I will pass the call back to Carlos Alberini for closing remarks. 
Carlos Alberini: Thank you. Well, I just want to thank everyone for your participation today. We are very excited about the year that we have in front of us and very confident in our future. We have a great business model. We have multiple growth opportunities, and we have an amazing team. We look forward to updating you on our progress, and we wish you a very nice day today. Thank you. 
Operator: Thank you. And with that, ladies and gentlemen, thank you for participating. You may now disconnect.